Operator: Hello, and welcome to today's Vince Q2 2023 Earnings Conference Call. I'm now going to hand over to Caitlin Churchill, Investor Relations, to begin. Catlin, please go ahead.
Caitlin Churchill : Thank you, and good morning, everyone. Welcome to Vince Holding Corp, second quarter fiscal 2023 results conference call. Hosting the call today are Jack Schwefel, Chief Executive Officer; and Michael Hand, Interim Chief Financial Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those that the company expects. Those risks and uncertainties are described in today's press release and in the company's SEC filings, which are available on the company's website. Investors should not assume that statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on the call. In addition, in today's discussion, the company is presenting its financial results in conformity with GAAP and on an adjusted basis. The adjusted results the company presents today are non-GAAP measures. Discussions of these non-GAAP measures and information on reconciliations of them to their most comparable GAAP measures are included in today's press release and related schedules, which are available in the Investors section of the company's website at investors.vince.com. Finally, the company has filed a notification of late filing on Form 12b-25 with the Securities and Exchange Commission with respect to its quarterly report on Form 10-Q for the fiscal quarter ended July 29, 2023. The company expects to file the quarterly report within the extension period of five calendar days provided under rule 12b-25 of the Securities Exchange Act of 1934 as amended. Following today's remarks, there will be no Q&A session. Now I will turn the call over to Jack. Jack?
Jack Schwefel : Thank you, Caitlin, and thank you, everyone, for joining us this morning. The second quarter marks the beginning of a new chapter for Vince following the close of our transaction with Authentic Brands Group in late May. The transaction strengthened our liquidity position, allowing us to spend more time focusing on the product and the business. Since that time, we have continued to strengthen our balance sheet with the refinancing of our ABL facility in late June and enhanced our focus on improving our margin performance and executing our strategic growth initiatives. Before I provide an update on this progress, let me review highlights from our second quarter performance. As expected, we continued to navigate a challenging macro environment during the second quarter, which impacted both our direct-to-consumer and wholesale channels. That said, we are pleased with the delivered sequential improvement in our direct-to-consumer channel compared to the first quarter, while our wholesale channel was more pressured due to the strategic decision to pull back the penetration of off-price and enhance our focus on the more profitable full-price business.  While this decision impacts our top-line performance in the near term, we believe it's the right approach, especially as our inventories have normalized. Across both channels, we are pleased with the customer reception to our assortment. For both men's and women's, we also saw nice results from our pre-fall product assortment, which we believe bodes very well as we move into the key fall selling season for Vince. With respect to profitability, we are pleased with the year-over-year improvement, we delivered in adjusted operating income, driven primarily by gross margin expansion due to lower freight costs. In addition, we also remain focused on maintaining a disciplined approach to inventory management and operating a more streamlined organization, which we believe will continue to benefit us as we move forward. Turning to the progress against our strategic growth initiatives, including growing our customer base through leveraging our enhanced e-commerce capabilities and CDP platform, expanding our international presence and growing our Men's business. First, with respect to leveraging our enhanced e-commerce capabilities in CDP platform, while we have continued to see relative outperformance of our store fleet compared to our e-commerce site, we experienced notable improvements in our e-commerce performance later in the quarter as we were able to better leverage our platform and CDP capabilities while also benefiting from increased marketing spend that drove traffic and conversion to the site. We are particularly pleased with the results we saw from investments in social through partnerships with key influencers such as Arielle Charnas, who shared her Vince Trion with over with her over 1 million followers on Instagram and help drive significant traffic and demand to our e-commerce site. In addition, we continue to leverage our CDP platform, to better engage with our top customers and deliver more targeted communication across our customer base, which we believe will position us well to continue to drive increased loyalty and improve customer acquisition as we move forward. Turning next to our focus on international expansion. We are excited to announce our plans to open two new stores in China in the coming months in Nanjing this fall and in Beijing in early spring '24. We have continued to be pleased with our first store in Shanghai, which opened in September of last year, and look forward to expanding our presence in the country. Let me now discuss the progress in our men's business. We continue to be encouraged by the momentum we are seeing in our men's business, including the initial performance from our recently opened Roosevelt Field store. We believe we can grow this business to approximately 30% of our top-line performance in the next four years and are well on track to achieving this goal. In Q2, we saw strength in our high summer products Boucle Cabana Stripe Short as well as Linen shirts and polos, and see further opportunity in these areas for the future. In addition to the progress against our strategic initiatives, we are also pleased with our partnership with Authentic who recently announced a long-term agreement with Peerless, the largest producer of men's and boy’s tailored clothing in North America to design, manufacture, and distribute it. Vince men's tailored clothing, dress shirts, neckwear, and neckwear accessories across the United States and Canada. We believe this partnership is a great addition for the Vince brand, and we look forward to showcasing this product in our stores and online in fall '24. As we look ahead to the remainder of the year, while we are remaining prudent with respect to our outlook, particularly for the wholesale business, we are encouraged by the improvements in a trend we saw later in the second quarter continuing as we enter the third quarter. We recently launched our Vince Heroes campaign, highlighting our most loved and versatile pieces as we lean into fall selling season. We will also be launching our Gray Matters campaign in the upcoming days, which will showcase timeless silhouettes in this season's color focus, which will be shown in the mix of varying tones and textures. Along with this focus, we are also continuing to evaluate our entire cost basis and sourcing needs to continue to find efficiencies to drive margin expansion over time. We have recently engaged McKenzie to help us with this evaluation as well as a review of our pricing architecture, operating expenses, and overall working capital needs. Before I close, I want to thank all of our teams for their continued hard work and dedication as we have entered this new chapter for Vince. With our strengthened financial position and enhanced focus on our strategic growth initiatives, I believe we are well-positioned to deliver long-term success. With that, let me introduce our Interim CFO, Michael Hand, Michael joined us earlier this summer, bringing significant experience leading financial and accounting teams across retail, wholesale, and e-commerce businesses. As we continue our search for a permanent CFO, I am pleased to have his ongoing support in leading our finance and accounting organization. Now I will turn it over to Michael to review our financial results in more detail. Michael?
Michael Hand : Thank you, Jack, and good morning, everyone. I am pleased to be here and working with the Vince team during this exciting time. As Jack discussed, the second quarter was an important one for the company both as we strengthened our financial position following the transaction with Authentic and as we began to drive operational improvements through our enhanced focus on our strategic initiatives across the business. Before I review our financial results in more detail, as a reminder, this is the first quarter that reflects the impact of our partnership with Authentic. As noted in our press release, our second quarter results benefited from a $32 million gain on the sale of the Vince IP, partially offset by $2 million in transaction-related expenses. In addition, we have begun to pay royalties to ABG Vince, which will now be recorded in cost of goods sold, and we have officially transferred our licensing business for footwear and soft accessories to Authentic in accordance with the terms of the agreement. The impact from these items was partially offset by the initial earnings attributed to our 25% ownership of ABG Vince and going forward, we expect to also benefit from the lower interest expense given our reduction in debt. Turning now to our results in more detail. Total company net sales for the second quarter decreased 22.1% to $69.4 million compared to $89.2 million in the second quarter of fiscal 2022. The year-over-year decrease was driven by a 98.7% decrease in Rebecca Taylor and Parker combined net sales due to the previously announced wind down of the Rebecca Taylor business which is now complete and also a 14.3% decrease in Vince brand sales. The Vince brand net sales decrease was driven by year-over-year declines in both our wholesale and direct-to-consumer segments. As Jack discussed, our top-line performance was impacted by macro-related headwinds and the strategic decision to pull back on our off-price business within our wholesale channel. In addition to this decision, our wholesale performance was also impacted by the later timing of select fall deliveries compared to last year. The transfer of the licensing business for footwear and soft accessories as well as ongoing cautiousness in the channel. In direct-to-consumer, we continue to see outperformance in our stores compared to e-commerce, but we are pleased with the overall sequential improvement in the segment compared to the first quarter. Gross profit in the second quarter was $32.3 million or 46.6% of net sales. This compares to $36.4 million or 40.8% of net sales in the second quarter of last year. The increase in gross margin rate was driven by lower freight costs, favorable year-over-year adjustments to inventory reserves, as well as approximately 120 basis points related to the wind-down of the Rebecca Taylor business, which historically operated at a lower overall gross margin and partially offset by approximately 320 basis points of royalty expenses associated with the licensing agreement with Authentic. Selling, general, and administrative expenses in the quarter were $31.5 million or 45.4% of net sales as compared to $39 million or 43.7% of net sales for the second quarter of last year. The decrease in SG&A dollars was primarily driven by the wind-down of the Rebecca Taylor business, resulting in a $6.6 million net expense favorability in the second quarter of fiscal 2023. In addition, we also had lower consulting and other third-party costs as well as lower expenses related to comp and benefits and product development. These lower costs were partially offset by $2 million in transaction expenses related to the Authentic transaction. Operating income for the second quarter was $32.9 million compared to an operating loss of $5.2 million in the same period last year. Adjusted operating income which excludes the gain on sale of the Vince IP as well as the transaction expenses was $2.8 million for the second quarter of fiscal 2023. Net interest expense increased to $4.1 million compared to $1.9 million in the prior year. The increase was entirely driven by expenses related to the refinancing transactions in the quarter including the terminations of the term loan credit facility and the prior revolving credit facility. Going forward, we expect net interest expense to be lower given the reduction in debt. Income tax expense -- I'm sorry, income tax benefit for the second quarter was $0.6 million as a result of applying our estimated effective tax rate for the fiscal year to the three-month loss before income taxes and equity in net income of equity method investment, excluding discrete items. Discrete items for the second quarter included the $32 million Vince IP sale gain and $2 million in transaction expenses. There was no tax expense associated with these discrete items as the company has substantial net operating losses, both at the federal and state levels, which are currently held in reserve with a valuation allowance. The tax benefit in the second quarter of fiscal 2023 compares to an income tax expense of $7.9 million in the same period last year. For the full year, we expect to report an income tax benefit of approximately $5.9 million. Net income for the second quarter was $29.5 million or $2.36 per diluted share compared to a net loss of $15 million or a $1.23 loss per share in the second quarter last year. Adjusted net loss for the second quarter of fiscal 2023, excluding the impact from the Vince IP sale gain as well as the transaction expenses was $0.5 million or $0.04 per share. Moving to the balance sheet. Net inventory was $85.1 million at the end of the second quarter as compared to $129.5 million at the end of the second quarter last year. The year-over-year decrease in inventory was driven by the wind-down of the Rebecca Taylor business as well as the normalization of inventory within Vince as we sold through higher levels of inventory from the prior year and rebalanced our inventory purchases for the current season. We continue to expect inventory levels to remain below the prior year as we move into the second half of fiscal 2023 reflecting the comparisons to last year as well as the actions we have taken to move through units and our more conservative buys for current season inventory. As was discussed on the last earnings call, in May, we successfully closed our transaction with Authentic. With the proceeds from this transaction, we strengthened our overall liquidity position and increased our working capital. We repaid in full $27.7 million that was outstanding under the term loan credit facility and repaid a portion of the outstanding borrowings under our revolving credit facility. Following these actions, in June, we successfully refinanced our ABL facility and entered into a new five-year agreement with Bank of America. The new ABL facility replaced our prior credit facility and provides expanded capacity of $85 million expected to mature in June 2028. Turning to our expectations for the balance of the fiscal year 2023. While we are not providing formal earnings guidance at this time, given the momentum we are seeing in the business, macro headwinds notwithstanding, we expect to deliver sequential improvement in our top-line performance in the third quarter compared to the second quarter. With respect to the second half of fiscal 2023, we expect to continue to benefit from freight tailwinds and we'll continue to maintain a disciplined approach to inventory and expense management. We believe we will be well-positioned to execute against our objectives, and we look forward to continuing to keep you updated with our progress.  This concludes our remarks. Thank you for joining us this morning.
Operator: